Operator: Hello, and welcome to the SES Year-to-date 2020 Results Call. My name is Molly, and I'll be your coordinator for today's event. [Operator Instructions]. I would now like to hand the call over to your host, Mr. Richard Whiteing, Head of Investor Relations, to begin today's conference. Thank you.
Richard Whiteing: Good morning, everyone, and thanks for joining our results call for the 9 months ended September 30, 2020. This morning's presentation was uploaded to the Investors Section at ses.com this morning, along with the press release, if you don't already have it.  As always, please note the disclaimer at the back. In a moment, Steve Collar, CEO, will present the main business highlights, followed by Sandeep Jalan, CFO, to cover the financials in more detail. After some closing remarks from Steve, we will be happy to take your questions where we're also joined on the line by JP Hemingway, CEO of SES Networks.  And so with that, let me hand over to Steve.
Steve Collar: Thanks, Richard. Good morning, everyone, and thanks for joining us for our Q3 call. Let me take you through the main business highlights starting on Page 3. We're pleased with our solid year-to-date performance, reflecting strong focus and execution and the resilience of our business despite the continuing challenges introduced by the COVID-19 pandemic. As has been the case for the last 3 years, Networks growth remained strong, while Video was flat quarter-on-quarter. Our proactive and quick response to COVID is contributing well to lower operating expenses and good performance at the EBITDA line.  As a result, we're on track to achieve our full year outlook with more than 97% of expected revenue already secured and full focus on closing out the year as strongly as possible. As we've discussed previously, and I will share more details in a couple of slides, we have 4 key strategic initiatives underway at SES that will create significant value, and we've made strong progress in all 4 areas over the last few months.  In particular, the visibility of substantial C-band proceeds continues to increase with our transition plan fully on track, the FCC auction due to start next month and the success milestone for realizing the first relocation payment now only 13 months away. We have a well-differentiated value proposition in our Network business, and we continue to build -- and this has been sort of substantially expanded with our partnership with Microsoft Azure. Strong video neighborhoods emphasized recently by the meaningful extension of our business with Canal+ across 3 satellites and underpinned by strong cash flows and a disciplined financial policy.  So turning now to the key numbers on Page 4. Overall revenue for the first 9 months stands at $1.410 billion. For a third successive year, our networks business has posted strong growth delivered revenue up 7.5%, and this despite the COVID-19 environment that's depressing demand in some of our most important growth segments. Our Video business, the largest in the industry, delivered to our expectations, and we saw revenues this quarter stable with Q2.  I'm pleased with the resilience that we've been able to show at the adjusted EBITDA line, including a 4% reduction in operating expense year-on-year and reflecting the strong cross-company actions that we implemented at the start of the year to protect the bottom line in the face of COVID headwinds. We've also reduced leverage year-on-year with metrics consistent with investment grade, strong liquidity and a healthy balance sheet.  So looking at the segments in more detail and starting with Video on Page 5. Our Video business delivered results in Q3, in line with our expectations. As I mentioned, the long-term importance and resilience of our prime neighborhoods was underscored by our recent agreement with Canal+. I'm really pleased with the outcome of this deal with an important long-term partner, covering 3 different orbital locations and serving more than 10 million Canal+ subscribers.  Not only have Canal+ committed to over €230 million of incremental backlog, but they're also consolidating a substantial part of their M7 business onto the SES Network at 23.5 East, securing its long-term future and extending our relationship with Canal+ until the end of the decade.  A couple of words now about our business in Germany, a market from which we generate almost €400 million in revenue, serve 18 million households to a total of 36 million and where we operate a brand leading B2C consumer platform, HD+. HD+ is an incredibly important value driver in our most important market, a market in which there's a vibrant collection of public broadcasters, commercial broadcasters, pay TV and a significant free-to-air audience.  Since the start of the year, HD+ has seen an uptick in paying subscribers to the platform, which stands now at over 2 million. Importantly, over the course of the year, we've developed and implemented a dedicated HD+ operator app that's now embedded directly into TV sets by manufacturers such as Panasonic and Samsung. This avoids the need for consumers to purchase modules or set-top boxes in order to receive HD+, increasing convenience and providing greater insight into consumer behavior.  In fact, every third TV sets sold in Germany today is already carrying the HD+ operator app. And HD+ is reflected of a global trend with consumers everywhere seeking the best viewing experiences and more high-definition and ultra high-definition content where satellite is the most reliable and cost-effective means for customers to distribute their most valuable content. SES is the global leader in premium content, with further growth in HD and UHD channels to almost 3,000 in total carried over the SES Network. This is 65% more than our closest rival, demonstrating the strength of our premium neighborhoods, which serve an industry-leading 367 million households.  It's this combination of unparalleled reach and premium content that customers, such as Canal+, continue to value highly when committing to long-term contracts, as evidenced by the substantial video backlog of €3.5 billion.  So now turning to networks on Page 6. Our Networks continues to be the growth engine for SES, with more than 25% growth over the last 3 years. Despite the challenges from COVID in 2020, growth of 7.5% year-on-year reflects the work done signing new business over the preceding 12 months and really strong execution across our Networks business unit.  Our Government business delivered a step-up in revenue this quarter, and we achieved some breakthroughs with new applications for our MEO constellation with the U.S. government. The first is a flexible network deployed for remote [indiscernible] locations; and the second is a solution to support U.S. service in COVID restricted areas, and we're optimistic that this will lead to repeat business.  Another feature of Networks in 2020 and one that differentiates us from our peers is the growth that we're posting in fixed data, up 6.6% year-on-year. Our partnership with INRED in Colombia is a great example of the kind of rural inclusion projects that have sustained this growth over the last several months.  In Mobility, we're still -- we've still recorded double-digit year-on-year growth, thanks to the new services signed at the back end of last year. The team has done a fantastic job in working with our long-term partners in what is a challenging time for their businesses while managing so far to keep the quarterly run rate stable in 2020.  And turning to Page 7, and I'm going to say a few words on what we're calling our Network of the Future, an integral part of how we intend to drive sustaining growth across our networks verticals throughout the next decade. Our vision is a seamless multi-orbit intelligent network that allows our customers to consume service flexibly and manage their application needs. It's a network that benefits from cloud scale and leverages network functions natively running in and seamlessly interconnected to the cloud. Our gateways and platforms will be virtualized and integrated with cloud data centers, and this vision took a major step forward through the announcement of SES becoming a founding partner for Azure Orbital.  Just recently, we added ST Engineering Idirect and Gilat as key technology partners for O3b mPOWER, both of whom share our vision and together represent a significant percentage of the terminals deployed across our markets today. They will deliver their platforms to be fully compatible with the O3b mPOWER space brain, arc and the network automation functionality being built within own app.  Just as importantly, the same hardware deployed at our gateways and customer locations will be able to transition seamlessly between O3b mPOWER and, for example, SES-17. We're now less than a year away from the launch of SES-17 and the first launch of O3b mPOWER, and we have €500 million of secured backlog for these systems, and we will report regularly on our commercial progress going forward.  And finally, for me, before I hand over to Sandeep, an update on our 4 key initiatives on Page 8. These 4 initiatives, when taken together, will transform SES. Our capabilities, our ability to serve our existing customers and attract new ones. And together, will create substantial value for our shareholders. These initiatives reflect our core priorities at SES, and we have real momentum in all 4.  Since our last results call, we've made really strong progress in our C-band transition plan, as I mentioned earlier on in this call. We've completed all major procurements, a number of which are already ahead of schedule, and we've begun the process of transitioning customers.  The FCC led process is progressing at pace. And the strong demand for high-quality mid-band spectrum was evidenced recently by the extensive list of 74 potential bidders per auction that will kick off already next month. So we're really well on track with relocation payments expected to begin in a few months. And with the first clearing milestone only 13 months away, unlocking the first $1 billion of proceeds that will be used to strengthen our balance sheet.  Looking ahead to the second acceleration payment. It's still a little early to be definitive on the use of proceeds given that we're around 3 years away, but the order of priorities remains clear. Shareholder return, any further balance sheet strengthening, if required and disciplined investment, should we see an opportunity to create shareholder value.  Moving on to our second initiative, Simplify and Amplify. We've now implemented the actions needed to deliver on our targeted EBITDA optimization that will deliver €40 million in EBITDA savings in 2021 and €50 million on an annualized basis from 2022 onwards. We're continuing to drive simplification, efficiency and operational focus internally and this is reflected in our decision not to pursue the separation of our Networks business within SES at this time.  We've done a lot of work on this, both internally and externally and now have a blueprint to execute if needed. We concluded that we can achieve the objectives of sharpened operational focus and strategic flexibility without incurring the additional cost, resource and time to execute that separation would imply.  We do intend to simplify our legal and financial structures, reducing the number of legal entities by more than 1/3, increasing visibility of business unit performance internally and later also externally and continuing to drive strong operational focus in Video and Networks, while the work that we've done preserves strategic flexibility for the future.  I've already spoken at some length about our third initiative, our Network of the Future and the vision associated with that. And the important part that SES-17 and O3b mPOWER play in this architecture. This seamless interconnected multi-orbit vision is something we've been working on for some time, and I couldn't be more excited about the progress we're making.  An important point to make is that if we can work seamlessly across SES GEO and MEO assets, we can also ultimately work seamlessly across other space-based networks as well. We're building a platform that can form a backdrop for network share, driving both improved customer experience and capital efficiency in the industry.  And finally, cloud, and cloud is also part of this interconnected Network of the Future because it drives scale and the ability to virtualize large parts of our network. But as you can see from the industry forecast, the adoption of cloud services is also accelerating across many industries, including those that we serve today and represents a substantial value opportunity for us.  I think we're meaningfully ahead of the industry in the way that we're approaching cloud and looking to leverage the cloud across our business, and this is underscored by our substantially expanded partnership with Microsoft. Operationally, we've moved our own key enterprise and operational systems to Azure, and we've created the corporate cloud initiative to define, develop and launch seamless cloud, content and connectivity solutions to our customers.  Last month, really excitingly, we became an Azure Orbital partner and key connectivity partner of Azure Orbital, building and managing gateways for Microsoft that will be co-located with their Azure data centers. And we'll also place our O3b mPOWER gateways there. We're also Microsoft's MEO satellite partner to connect Azure modular data centers and benefit customers who will be able to take Azure to the network edge, extracting value by applying a range of data processing, AI and other tools.  So with that, I'll hand over to Sandeep, and then come back to conclude at the end. Sandeep?
Sandeep Jalan: Thanks, Steve. Good morning, everybody. Moving to Page 10. I will now cover the main financial highlights, which are fully in line with our expectations and demonstrate a solid and resilient performance despite the current environment.  Adjusted EBITDA of €883 million was 2.3% lower than the prior year. However, adjusted EBITDA margins improved year-on-year to 62.6%. The revenues were lower by 3% or €42 million compared to prior year. However, impacts were limited at adjusted EBITDA due to year-on-year OpEx reduction by 3.7% or €21 million.  Our quarter 3 EBITDA stood at slightly above €300 million, reflecting both resilient revenues and one of our lowest CapEx during past many quarters. This shows a good outcome of our commitment for strong COVID-19 cost mitigation actions and cost controls to protect the bottom line. Restructuring charges and C-band expenses during the first 9 months of the year were €49 million in total.  Depreciation and amortization was lower by €20 billion or 3.7% due to the combination of satellites, which are reaching their end of life, the extension of certain satellites depreciable life and the new assets that entered service during 2019.  We are continuing to make good progress on reducing the recurring interest expense, thanks to the recent senior debt refinancings at rates much lower than the debt having been retired. Net interest cost decreased by 10% to €120 million compared to last year. However, the net financing cost of €135 million shows an increase due to lower interest capitalized and mostly noncash ForEx losses.  The change in net profit to €154 million was mainly due to the result of additional C-band and restructuring expenses which stood at €49 million, movements in the ForEx and tax impacts from gains in 2019 to the tax losses in 2020 and lower non-controlling interest.  Looking at the revenues on Page 11. The developments reflected the continued strong growth in networks, offset by near-term advances in the video. Video declined 8.1% year-on-year, impacted by DTH and cable customers rightsizing capacity in mature markets by our ongoing withdrawal from low-margin activities and also by the cancellations and postponements of sports and other events due to COVID 19.  That said, quarter 3 revenue was unchanged compared with quarter 2. Our network business grew by 7.5% underlying basis year-on-year, which is third year in a row. This is thanks to a double-digit growth in Mobility, which was around 18%, new government vents, which was around plus 1% and returned to growth in Big Data, which stood at around 6% positive.  Now turning to the balance sheet on Page 12. As mentioned by Steve, our leverage position continued to improve, both year-on-year and quarter-on-quarter. Adjusted net debt to adjusted EBITDA stood at 3.2x, which shows a reduction by 0.2x year-on-year basis. Our liquidity position, which comprises cash and the €1.2 billion credit facility remains strong at near €2 billion. We have a strong base of senior debt with average cost of about 2.5%, average maturity profile of 8 years and no significant senior debt maturities before April 2023 on a pro forma basis.  The CapEx cost on Page 13 is unchanged with growth CapEx for SES-17 and O3b mPOWER during 2021 and 2022. The after 2022, the cash flow profile is expected to benefit from the revenues generated by these highly differentiated assets as well as from the low needs for replacement CapEx.  Finally, the full year financial outlook, as shown on Page 14, is unchanged. As Steve mentioned, we are fully on track on both revenues with good visibility from having more than 97% of the revenues already contracted as well as strong COVID mitigation measures to protect the bottom line. With that, I will conclude now and hand back to Steve.
Steve Collar: Great. Thanks, Sandeep. So Just a few closing words from me on Page 15. Our solid year-to-date performance reflects SES's long-term fundamentals, strength and industry-leading position. Even with the headwinds of COVID-19, our Networks business is delivering strong growth for a third consecutive year with impressive new wins across government and fixed data in 2020, highlighting the value of our unique multi orbit infrastructure.  Our premium video neighborhoods are continuing to attract new premium TV channels and retain the best customers with Canal+ being the latest to extend their commitments with SES, adding to our substantial contract backlog. And we will remain committed to our financial discipline, which has enabled us to continue to strengthen the balance sheet even in this challenging macro environment.  We've been very thoughtful in terms of our growth CapEx and focused on investments like O3b mPOWER and SES-17, which will meaningfully enhance our ability to serve customer demand and profitably grow the business. And lastly, with C-band, we're fully on track to realize substantial incremental value, delivering significant shareholder value.  And with that, we're happy to take questions.
Operator: [Operator Instructions]. The first question comes from the line of Sami Kassab calling from Exane.
Sami Kassab: I have three questions, please. The first one is on video distribution. Can you comment on the pipeline and on the upcoming renewals there to help us understand to what extent the quarter-on-quarter revenue trends are indicative for the next few quarters, please. The second question is on mPOWER and its commercial momentum. You've disclosed the backlog, thank you. Can you disclose the backlog as it stood a year ago, so that we see evolve backlog came in the last few months or how the momentum has been?  And lastly, you have no new assets entering commercial service until late next year. Assets recently launched are filling up nicely as your results show. So can you comment on how you bridge 2020 and 2022? In other words, how you see networks next year, please, Steve?
Sandeep Jalan: Thanks, Sami. So I'll take the first couple and then hand maybe to JP to take the last. So on the pipeline of renewals, we don't have any significant renewals in the last quarter of the year. And the vast majority of our business on the video side is already secured. We've actually seen a bit of an uptick in sports and events in the fourth quarter, which is helpful. And as far as 2021, we'll obviously address that down the road. We do have some renewals coming up in 2021, but we'll, kind of, go into that as we move into 2021.  As far as mPOWER and SES-17, I mean, we're now sort of providing visibility into the backlog, and we'll do that going forward. I don't think that we're going to go back in time and provide information on that. But I think the main message, Sami, is we're seeing momentum starting to build now as the launch sort of comes into view, and that's fairly typical.  And there's a good reason, therefore, for us to kind of report on this now and then to give you visibility of this going forward? And then maybe for the last question, I'll hand across the JP in the U.S.
John-Paul Hemingway: Yes, from a demand perspective, we're seeing positive progression through into next year after working through the COVID assumptions that we have to date and the visibility we have of those to date. I think your question was more around supply. Yes, we're making good progress on some of the high throughput satellite assets.  But actually, we still have room to grow in certainly SES-14, SES-12, SES-16 or GovSat-1 and of course, the other assets that we have around the globe. So I don't see our supply being challenged until we wait for SES-17 O3b mPOWER. And of course, we still have some capabilities in MEO current generation to bridge us to that as well. So I think supply and demand, well matched into next year.
Sami Kassab: So may I conclude on that, that you see the quarter-on-quarter stability in Video is indicative and expect networks to continue to grow positively next year?
Sandeep Jalan: Sami, we're not going to get into guidance for next year until February. So appreciate the question, but we'll come back and talk to you about 2021 in February.
Operator: The next question comes from the line of Nick Dempsey from Barclays.
Nick Dempsey: So yes, three questions from me. The first one, just going back to that $500 million of backlog. Is a large part of that, the deal with Thales on SES 17 that was, kind of, wrapped into the commissioning of that satellite. Can you give us some sense of how much of it relates to that? And then just some kind of idea about the average contract length behind that $500 million of backlog. So if we can just cross check it with our modeling.  Second question, in Mobility, you continue to grow well. That's pleasing. As the benefit of the new business in Aero starts to wash out, and obviously, it's harder to get new stuff, do we see a risk of some quarters of year-on-year decline in that business over the next few quarters? And the third question, can we just get the latest thinking on the tax rate likely to be applied to the C-band proceeds, again, to help our modeling of that?
Steve Collar: Very good, Nick. Thanks for that. Yes. So look, on the backlog -- so yes, absolutely, the sort of the Thales Avionics deal is part of that €500 million number, but it's certainly not the only one. And I think the purpose of establishing this backlog now and providing you guys visibility of that is that you can now track this as we go forward and talk about it. It is long-term in nature, and it ramps, as you would expect, right?  So this is -- and I would say that's sort of true of that backlog, that it kind of ramps as customers build in. But some of that backlog, sort of, starts immediately on day 1. And so we're not going to break it out in further detail at this point in time. But we'll certainly give more visibility on that backlog as it grows and as we sort of approach not only the launch of the satellite, but the launch of the services. I think the second question probably is for you, JP, and then the third one for Sandeep.
John-Paul Hemingway: Sure. Yes. And on mobility, yes, obviously, we've seen some good growth over previous quarters, which has seen us through into this year. But as you indicate some new business has obviously been challenged this year given the sort of COVID-19 situation. But we're confident the business we've won will see us strongly through into following quarters.  Obviously, new business has been constrained, but we're watching very carefully the return to service, if I call it, perhaps, on both aviation and cruise. Obviously, on cruise, we're pleased by the lift of the no sale order from the CDC in the U.S., and we're working with our customers very closely to see what that means to their actual return to service, which we expect to be relatively cautious and measured, as you would expect, with all the new safety measures coming in.  But we do expect to see some of those vessels starting to come through and then back to growth and then the new vessels that have been on hold also coming through. So yes, we have to measured in our new business expectations. Certainly with the indications we're seeing for some of those sectors, we should start to see some of that flowing through into next year.
Sandeep Jalan: Hi Nick, regarding your question on the tax rates on C-band proceeds. On C-band, as Steve said earlier, we are making very good progress. Also Clearinghouse has been appointed on 22nd of October. We are in discussion with all the tax authorities, because it's a multi-jurisdiction. We have given a tax guidance of between 20% to 25%. And at this moment, we are clearly expected to deliver towards lower end of that guidance.
Operator: The next question comes from the line of Aleksander Peterc calling from Societe Generale.
Aleksander Peterc: I have a few. The first one is, if you could give us an update on your cost reduction on the third quarter alone and how much of that you expect to be able to sustain going forward once the effects of the global pandemic subside. Secondly, if you could say on video services, how much legacy revenues left there? There's been a few years.  Now I've been talking about legacy dragging this segment down. When will it wash out completely? And then the last one, if you could give us the puts and takes behind the thinking on the future of the separation of your networks, what made the Board change its mind at this point?
Sandeep Jalan: So regarding the cost reduction. So clearly, for 2020, we had announced a one-off COVID mitigation measures of €40 million to €60 million. At this moment, we are expecting the gains to be about €50 million, as stated in our earnings release, and we are tracking it very well. As you can see from our quarter 3 results, we have made a very, very good progress on that front, and we will continue to see the gains of that materialize during 2020 itself. As we said, these are one-off COVID mitigation measures.  And on top, we continue to see the [indiscernible] gains, which will start ramping up from next year. They are about €40 million to €50 million, to be precise €40 million for 2021 and €50 million that we expect during 2022. And again, we will give more clarification with our full year guidance in February as to what impacts from the cost we can expect during next couple of years, next year.
Steve Collar: Great. Thanks, Sandeep. On the second question on sort of a low-margin service. So sort of our exit from low-margin services was the main driver of the overall service year-to-date reduction. But obviously, what goes with the revenue reduction is also a reduction in cost and in particular, cost of sales. And that showed a positive impact overall on the EBITDA level.  We'd expect this to be largely done by the middle of 2021. And as you'd expect, we're always going to be focused on making sure that we're maximizing profitability and sort of long-term value in the services that we're delivering.  And then on the third question, it wasn't so much a change in position. What we announced in March was that we were going to look at this, right? And when we announced in, I think, March-Feb that we review this as part of our overall transformation plan, we had 3 main objectives in doing it, which was strategic flexibility. It was sharpened operational focus and also increased visibility, both internally and externally.  And with the work that we've done, we can -- our conclusion is we can achieve all of those things without actually incurring the costs that going into full separation would require and would imply. And like I said in kind of the talk, we're going to simplify our legal structures. We're going to get rid of about 1/3 of the legal entities that we currently have in the business, and that's going to sort of streamline things and save us fairly significantly from a cost standpoint.  And so yes, I mean, the short answer is we can achieve all of the benefits that we envisaged, in particular, maintaining and increasing actually our strategic flexibility without actually incurring the costs that separation would imply.
Operator: The next question comes from the line of Michael Bishop calling from Goldman Sachs.
Michael Bishop: I've got one question, just a bit of a follow-up from the last one, and then a second question just on costs. The first one, just coming back to a couple of the points you mentioned. So it sounds like the network separation, you decided that there wasn't essentially the financial synergies. But could I confirm whether you did explore any sort of external value creation type opportunities alongside the analysis on just the financial synergies?  And rolling into the second part of the question, which is you mentioned the capital efficiency in the industry could improve and SES was trying to need that. That would, I guess, make people think about consolidation.  But are you trying to say that capital efficiency in the industry can improve without consolidation and things like partnerships? Just trying to understand that comment better. And my third question on the costs is, as we think about the $50 million of onetime measures, dropping away in '21. Are they fully replaced by the €40 million to €60 million simplify and amplify? Or is there some overlap? Because it seems quite hard to disaggregate at the moment, what's going to be temporary and what's going to be permanent?
Steve Collar: Yes. Look, I'll take the first 2 and then let Sandeep take the third one. So look, again, on the separation question, the objectives that we kind of laid out in February were relatively clear. This wasn't sort of driven by a particular M&A opportunity, if that was the question. It was really driven by the idea of how do we maintain strong operational focus and provide greater visibility into 2 businesses that look and feel quite different, but also give us strategic flexibility and having gone through this, and we needed to kind of disclose it because it was material, right?  And we were going to do a substantial amount of work externally as well. But having worked through this, we see that we can sort of get the best of both worlds, right? We can get all of those things without incurring the costs that it would imply. And I think it's also true to say that the world is a little bit different than it did back in February. From a very positive standpoint, we've made really substantial progress with C-band, and so we have strong visibility towards the €4 billion in proceeds that will come as a result of us executing well on the accelerated transformation plan.  But also, we've been -- the world has been dealing with this sort of global pandemic over the last sort of 7 or 8 months, which really drives focus on operational efficiencies. And so yes, this is the right decision for us to take for now, given that we can retain all of those benefits without necessarily incurring the incremental costs.  Yes, the second question was sort of around this idea of building a platform that gives us the potential to interoperate not just across our own satellites and our own systems, but also potentially others. And I think that, that is very meaningful. I think it's meaningful in terms of providing better solutions for our customers. Customers in the market today can get confused by the number of different offerings that are out there. And if we can aggregate those offerings into a more coherent network, I think that's a good thing.  I think it will improve the efficiencies of networks. But ultimately, it may mean that we don't -- the industry doesn't end up building kind of overlapping networks, and this was seen in mobile, not so long ago, right, network sharing. And I think we can be a platform to enable network sharing. And sort of our ideas there are still relatively early in development.  But I would say if we've created that capability to be multi orbit and interoperable within our own system, then we can clearly do that outside our system as well. And I think that, that is compelling for the future. And Sandeep, leave you with the third question.
Sandeep Jalan: Yes. So Michael, regarding cost, both these cost initiatives, Simplify and Amplify, €40 million to €50 million gains ramping up from next year and the COVID-19 mitigation, which is a one-off in 2020 action, these are very similar so far as the amount is concerned, but the focus is very, very different. While Simplify and Amplify gains €40 million for next year, they are sustainable gains, and they will continue to recur year-over-year and that will continue to ramp-up in 2022 to €50 million.  COVID-19 mitigation measures are very exceptional and more kind of one-off, right? Because this comprises of low amount of travels, no events, also many staff actions, the cuts, et cetera, that we did exceptionally during this year. And they are not expected to recur. And again, we are not giving a guidance for next year. Again, we are carefully looking at our numbers for next year. I will come back in February and give our guidance for next year as to what all it means for next year guidance in terms of cost actions.
Operator: [Operator Instructions]. The next question comes from the line of Giles Thorne calling from Jefferies.
Giles Thorne: Just coming back to the question of networks. Steve, it would be useful to hear very precisely exactly what the strategic flexibility you're referring to? The flexibility that you thought you didn't have, but then realizing after doing the review that you can get it without having to do the -- any kind of work around separating networks? So again, what exactly is that strategic flexibility that you're aiming for?  Second thing. I remember in times gone by, previous CFO describing the CapEx on SES-17 is completely covered by the revenue you'll be generating from Thales assuming a satellite cost about €300 million, give or take. That's about €200 million of your €0.5 billion backlog that's coming from non SES-17 stuff, so mPOWER. So it'd be useful to know if you agree with those numbers. And that €200 million backlog, is that existing on 3B customers doing existing things? Or is this exciting new things coming in that you've never done before on the back of mPOWER?  And then my third question is, if we consider yourself and Intelsat as the old guard in fixed satellite services mobility, there's been a massive departure by Intelsat in aviation with the acquisition of Gogo's commercial aviation business.  Now I know you vertically integrated with O3B in mobility for cruise. But basically, in aviation, that's a big departure from the status quo. I could ask all sorts of leading questions. But basically, I just want to know what you think about that. That's it.
Steve Collar: So Giles, look, I mean, I don't think I have to sort of spell out too much on strategic flexibility. I think what we've said in the past is we believe that consolidation in the industry would be a good thing and would benefit the industry and that SES as one of the leaders we intend to remain open and, sort of, put ourselves in a position to lead that consolidation to the extent that we believe that it's sort of value-accretive for our shareholders. And we could do that in multiple different ways. And so strategic flexibility speaks to putting ourselves in a position for which that's true.  But as always, we're going to be financially disciplined about what we do and pretty objective about how we would go about doing it. So I think that probably is all I would say on the first question.  And on the second question, and I appreciate, Giles, you digging. And -- but look, we're providing guidance on visibility into how we see the market developing for SES-17 now through the mPOWER. It is really exciting. I think despite what is by all measures, are pretty depressed industry at the moment for growth on the mobility side. In particular, we're seeing good traction on SES-17 and O3b mPOWER.  And a lot of excitement around what we're creating and this sort of vision around the Network of the Future and the flexibility that, that implies, the sort of the direct connection to Azure and everything else that's implied with sort of the Network of the Future. And so yes, I think that €500 million in backlog reflects that, and we'll continue to provide that information as we get sort of closer to that launch.  And then, yes, look, on Intelsat's move and Gogo, I think what it reflects more than anything else is stress, frankly, in our sort of traditional customer base, which is the service providers. And when I say our, I mean the industry's sort of traditional customer base in the service providers.  I shouldn't lose sight on the fact that this is sort of an unprecedented global pandemic, and that has put the service providers under real stress. And I think that has led to not just the situation with Gogo's Commercial Aviation business, but also we see a number of our traditional service providers going through restructuring, Chapter 11 and so on and so forth.  I think the industry will emerge, sort of, stronger for this. I think there was a little bit of irrationality in that sort of service chain, particularly, I would say, in aviation over the sort of the years proceeding. So I'm confident that, that chain will emerge more strongly. As you know, we're an important provider to do 4 of the 6 aeronautical service providers today. The other two being vertically integrated in Inmarsat and Viasat.  And so we don't see any medium-term impacts on our business with Gogo or medium-term impacts on us as a result of Intelsat acquisitions of Gogo. And we will obviously continue to support them as well as the other 3 that we serve today.  And then for questions about Intelsat's strategy and why they did it, obviously, you'll need to speak to them. And with that, did we get through your question, Giles? Or was there another one? I think we --
Giles Thorne: Yes, you did. A very brief follow-up on the last point. You recognized €100 million of capacity on-boarding synergies that Intelsat has spoken to through the acquisition of Gogo. Do you see third-party capacity out there that they can transfer to Intelsat or do you think that number is not real? Basically, what's your -- losing business?
Steve Collar: Yes, Giles, obviously I have no idea. You'll need to speak to Gogo or to Intelsat ultimately when the transaction closes. But what I can tell you is our business with Gogo is very long term in nature. And it comes as a result of us having a really important asset in SES-15, which has become sort of the prime location for Internet services to planes in North America. We design that satellite, specifically for those services, and I don't see too much out there today in Ku-band that sort of is equivalent to SES-15.  So I think we feel very, very good about the business we have with Gogo. It's very long-term in nature. And yes, for questions about the investment thesis that Intelsat add, you'll have to speak to someone else.
Operator: The next question comes from the line of Patrick Wellington calling from Morgan Stanley.
Patrick Wellington: Steve, did I spot a change in the order of your use of the C-band proceeds, which I think was shareholder returns, balance sheet and then acquisition? I seem to remember balance sheet coming before returns, before. So that's the first question.  Second one, on disciplined acquisitions, and let's stop beat around the bush. I mean what people want to know is whether buying Intelsat and other video-heavy player in Europe, different technology structure sits within your definition of a potential -- the disciplined acquisition or whether all this chat about consolidation in the industry is more about maybe networks than it is about video.  And then thirdly, I constantly struggle to find where to put my revenue for cloud and Microsoft Azure into my model. Are we double counting here? Is what we're going to get from cloud and Microsoft Azure something that should sit alongside the O3b mPOWER revenue line or is it broader than that?
Sandeep Jalan: So regarding the first question on the uses of proceeds. So we have been very, very clear and consistent from the last time. The C-band, there are 2 tranches. The first tranche, which is 1 million, the success milestone is in quarter 4 2021, which in 1 years' time. This will be utilized fully for deleveraging and the second proceeds, which is in about three years' time, we have been very clear about it that the first and foremost priority will be the shareholder returns, than using part of the proceeds in case any balance sheet is strengthening is required at that moment.  And in case we see any particular options, which are very value-accretive and enhancing shareholder value, they would remain open to those with a very, very strict financial discipline mindset. So the priorities are very clear: shareholder returns, balance sheet strengthening, if required, and any ready for optionality if we see the value in a disciplined way.
Steve Collar: Yes, Patrick, look, I'm going to probably disappoint you, but what I'm going to tell you is we're not going to comment or get drawn into a conversation about any specific other companies. I think as a general statement, as I said earlier on, I do believe that there's long-term logic in industry consolidation.  We're going to sort of continue to be financially disciplined in the way we think about it, and we're going to be as flexible as we can be in making sure that we put ourselves in a position to execute to the extent that we think that there is something value-accretive out there. And then for the third question, JP, I suggest you take it.
John-Paul Hemingway: Yes, sure, Patrick. So obviously, cloud revenues, I think, are new to the industry. And I think we're sort of pioneering that, as Steve said, so I appreciate the question.  So the way we think about our revenues that we're seeing today coming from cloud, we typically hold those into our fixed data numbers. And those will be comprised of the revenues that we're drawing through our direct relationships with those cloud service providers, so direct into the cloud operators is where the initial revenues will be coming from.  Going forward, though, we expect more revenues through that channel, but what it will really drive is greater growth in the existing segments. So cloud is very important to mobility customers, very important to telcos, et cetera. So it will drive, kind of, pull-through revenues into those segments.  And in terms of where you should be pegging it onto the assets. Yes, MEO is absolutely something that provides high-performance connectivity. So it could be biased towards that. But certainly not just, and it will be across all of our MEO and GEO assets based on these sort of end-user and application needs of cloud. So new to us all, I think, but that's kind of how we're thinking about placing the revenues.
Patrick Wellington: That's great. I mean, just in that context, Steve, I mean, do you envisage at some point having some sort of presentation to outline the potential of O3b mPOWER and these cloud opportunities? Or just -- do we just roll it into our general, sort of, growth model for the individual divisions?
Steve Collar: Well, look, I think we'll certainly think about that, Patrick. I think one of the things that is certainly true is as we get closer to the launch of both SES-17 and O3b mPOWER. We want to give you more and more, kind of, visibility as to why we think these assets and their capabilities that we're building are compelling.  And also, frankly, why our customers do, right, and give you kind of more visibility of that. And examples of what our customers are going to use these assets for and use the network for. How do we -- one of the things we're hearing back from our customers most strongly is the need for sort of flexibility. And I think that probably comes from this COVID environment where anyone who's taken on a lot of fixed commitments and fixed networks, was less able to respond.  And that's really at the heart of everything that we're building with SES-17, O3b mPOWER with the architectures that we're building, with the partners that we're announcing with our Microsoft, the work that we're doing with Azure and sort of the cloud at its very heart is flexibility, right?  So I think what we're building is very, very responsive to what we're seeing coming out of this, sort of, pandemic period. But I think the short answer, Patrick, is yes, we'll figure out how we continue to provide more and more examples, visibility and so on and so forth as we get towards the launch of 17 and mPOWER.
Operator: That concludes the question-and-answer session for the call. So I'd like to hand the call back over to your host for any closing remarks. Thank you.
Steve Collar: Yes. Just to say, thank you very much all for joining. Really appreciate it, particularly with all the excitement that's going on over in the U.S. right now. I really appreciate your attention and look forward to speaking to you again when we announce our end of year Q4 results. Thanks very much all. Appreciate it.
Sandeep Jalan: Thank you, bye.
Operator: Thank you for joining today's call. You may now disconnect your lines.